Unidentified Company Representative: It's time. We'd now like to start the Sony Group Corporation Consolidated Earnings Announcement Meeting. I'm Okada from PR. I'll be serving as emcee. I'd like to introduce the presenters. President, COO and CFO, Hiroki Totoki; Senior Vice President, In Charge of Corporate Planning and Control, Lead of Group DEI, Support for Finance Business and Entertainment Area, Naomi Matsuoka; Senior Vice President, In Charge of Finance and IR, Sadahiko Hayakawa; Sony Financial Group, Inc., Senior Managing Director and CFO, Kazuhiro Yamada. These four will be making presentations about the results of the first quarter fiscal '24 and forecast for the full-year. And afterwards, we'll have Q&A. Total session time expected to be about 70 minutes. Mr. Totoki, please.
Hiroki Totoki: First, I would like to briefly discuss the recent changes in the financial market environment. We are extremely concerned about the sudden fluctuations in exchange rates and possibility of economic downturn, particularly in the United States. The result, the forecast we are presenting today does not incorporate any of the recent rapid market changes. I believe that your interest in foreign exchange, the assumption assumed rate is evaluated at the rate very similar to today's rate. And with that, we evaluate our performance. However, we will closely monitor the impact on the real economy and our business going forward and aim to take any necessary actions swiftly and provide an update if any significant changes occur. Now we will explain this content. Starting from this time, Mr. Yamada from Sony Financial Group will provide an explanation of the Financial Services segment in addition to Ms. Matsuoka and Mr. Hayakawa and I will then give a summary at the end. Now Hirakawa-san, please?
Sadahiko Hayakawa: Consolidated sales, including the Financial Services segment for the quarter increased a significant 12% compared to the same quarter of the previous fiscal year to 2.574 [ph] billion yen, and operating income increased a significant 50.6 billion yen to 249.1 billion yen. Consolidated sales increased 2% year-on-year to 3.116 trillion yen. Operating income 26.1 billion yen to 279.1 billion yen. And the income -- net income increased 14.1 billion yen to 231.6 billion yen. The results by segment for this quarter are shown on this slide. Next, I will explain our consolidated results forecast for FY '24. The consolidated sales forecast excluding Financial Services has been upwardly revised by 3% to 11.700 trillion yen. The operating income forecast has been upwardly revised by 35 billion yen to 1.165 trillion yen and the net income forecast has been upwardly revised by 55 billion yen to 875 billion yen. Our operating cash flow forecast remains unchanged from the previous forecast at 1.400 trillion yen. Consolidated sales are expected to increase 2% from the previous forecast to 12.610 trillion yen. Operating income is expected to increase 35 billion yen to 1.310 trillion yen and net income is expected to increase 55 billion yen to 980 billion yen. The net income forecast is 9.4 billion yen, higher than the recorded in the previous fiscal year. Operating income on both on a consolidated basis, including financial services and the consolidated basis expected to be record highs. The full-year forecast by segment is shown here. Now I will move on to the explanation of the overview of each business. The first is the G&NS segment. Although hardware sales decreased FY '24 Q1 sales increased a significant 12% year-on-year to 864.9 billion yen, primarily due to the impact of foreign exchange rates and increased first-party software sales. Operating income increased a significant 16 billion yen year-on-year to 65.2 billion yen, mainly due to the benefit of increased revenue from the first-party software and network services despite increased cost including expenses resulting from the restructuring we undertook on a global basis. For FY '24, we are now forecasting sales to be 4.320 trillion yen, an increase of 120 billion yen from the previous forecast and operating income to be 320 billion yen, an increase of 10 billion yen. Despite not releasing any attainable titles, user engagement during the quarter remained high driven primarily by expanding PlayStation 5 installed base and contributions from the solid franchise software titles. The number of monthly active users of PlayStation was 116 million accounts, the highest number ever recorded for June, up 7% compared with the same month of the previous fiscal year and total play time also increased 8%. In terms of our software titles, Helldivers 2 is performing better than our May forecast and PC version of Ghost of Tsushima and the Destiny 2 expansion content, the final shape are also contributing to earnings. This month, we plan to launch our live service game Concord followed in September by Astro Bot and the PC version of our Smash hit title, God of War Ragnarok. As for the Network Services, U.S. dollar-based sales increased 13% year-on-year, driven mainly by a steady shift to premium services and increase in ARPU average revenue per user, resulting from price revisions in PS Plus. Under the new management structure, the Platform business group is steadily maintaining and expanding the number of active users and user engagement as priority initiatives and intends to work to further strengthen the PS platform and establish a stable earnings base. Additionally, the Studio business group is strengthening its development schedule, the management and optimizing development projects in order to consistently and continuously release hit titles. Next, the Music segment. FY '24 Q1 sales increased a significant 23% year-on-year to 442 billion yen, primarily due to the impact of foreign exchange rates as well as increased life box office revenue and the streaming revenue in recorded music. Operating income increased 12.5 billion yen year-on-year to 85.9 billion yen, mainly due to the benefit of the increased sales and favorite impact of foreign exchange rate, 6 billion yen remeasurement gain resulting from the consolidation of company previously accounted for using the equity method was recorded during the Q1 of the previous fiscal year. On a U.S. dollar basis, FY '24 Q1 streaming revenue in the recorded music increased 5% and Music Publishing increased 20% year-on-year, 19% and 36%, respectively, on a yen basis. For FY '24, we expect sales to increase 50 billion yen from the previous forecast to 1.740 trillion yen and operating income increased 15 billion yen to 330 billion yen. Global market growth in calendar year 2023, it was 10% higher in recorded music and 11% high-end music publishing, both compared to the previous year. In addition to an increase in the number of paying subscribers for streaming services and market expansion in emerging markets, recent price revision by music distributors have led to market growth for the ninth consecutive year in recorded music and the 11th consecutive year in Music Publishing. In the medium term, the market is expected to continue to grow at a mid-to-high single digit average annual growth rate, driven by increased ARPU, A-R-P-U, and further growth in emerging markets. From early on, Sony Music Entertainment has been strategically focusing on capturing the expansion of the Indian market and building a robust ecosystem as seen from the 100% consolidation of the orchard in 2015 and the acquisition of AWAL in 2021. Through the arches approximately 50 locations around the world, we are expanding our business in rapidly growing emerging markets, we're providing a wide range of services such as digital music distribution and data analysis using the latest technology. By actively pursuing strategic investments in emerging markets, including the Brazilian label and Sam Libre and Remus Entertainment and the label of Latin Music Bad Bunny to which the Orchard has been providing services, we have established a strong presence in Latin America, India, Africa and other markets around the world. As can be seen with the success of Sony Music Entertainment Japan, its artists Yoasobi and overseas markets, we have been able to create hits that transcend national and regional borders through the Orchard. Next is the Pictures segment. FY '24 Q1 sales increased 5% year-on-year to 337.3 billion yen due to the impact of foreign exchange rates, despite a decrease in U.S. dollar-based sales, primarily resulting from a decrease in the number of television programs delivered and a decrease in the number of theatrical releases. Operating income decreased 4.7 billion yen year-on-year to 11.3 billion yen, primarily due to the impact of the decrease in U.S. dollar-based sales. For FY '24, we forecast sales to be 1.520 trillion yen, an increase of 40 billion yen from the previous forecast and operating income to be 125 billion yen, an increase of 5 billion yen. In the first half of the calendar year 2024, theatrical box office revenue in the U.S. remained at a level approximately 20% lower than the previous year, primarily due to the impact of the strikes. However, from June onwards, the release of tentpole films from major studios, including ours has increased, and we expect Box Office revenue to gradually improve. During the quarter, we let SQL to our popular franchise, Bad Boys: Ride or Die and The Garfield Movie, which we distributed worldwide have both been hits. It Ends With Us, a film adaptation of a best-selling novel is scheduled to be released on August 9th. The trailer set a record of approximately 130 million views in the first 24 hours following its release. And we are hopeful that it will be an indicator of the success of our efforts to discover excellent original works and turn them into films. As for Crunchyroll, the number of paying subscribers exceeded 15 million in July. In order to capitalize on the rapid expansion of the Anime market, we have signed a global distribution agreement with Amazon Prime Channels. And after launching in the U.S. and the U.K. in October last year, we began distribution via Amazon in Brazil, France, India and other countries since April this year. In addition to further expand opportunities for engagement with Anime fans, we've announced our plan to expand our e-commerce site, Crunchyroll Store, which was previously only available in North America and Australia to 34 European countries. On June 12th, Sony Pictures Entertainment completed its acquisition of Alamo Drafthouse Cinema. Alamo operates 41 theaters across the U.S., where customers can enjoy a movie while dining. And the company is a leader in the dine-in cinema industry and ranks seven in North America in terms of box office share. It has approximately 4 million enthusiastic loyalty members over indexing on younger demographics. By building upon Alamo's connections with the spend community, we look forward to creating synergies with the content IP, including not only movies, but also games, music and anime. We also look forward to opportunities for Alamo and Crunchyroll to collaborate. With this acquisition, SB established a new business division, Sony Pictures experiences and aims to further strengthen its efforts in the experiential live entertainment business. And next is the ET&S segment. Although television sales decreased, FY '24 Q1 sales increased 5% year-on-year to 600.9 billion yen, mainly due to the impact of foreign exchange rates. Operating income increased 8.4 billion yen year-on-year to 64.1 billion yen primarily due to the favorable impact of foreign exchange rates. For FY '24, we forecast sales to be 2.420 trillion yen, an increase of 50 billion yen from the previous forecast and operating income to be 190 billion yen, unchanged from the previous forecast. With regard to operating income, despite the favorable impact of foreign exchange rates, we are maintaining our previous forecast by incorporating the risk of the worsening market environment and the impact of rising logistics cost. Looking at the market environment during the quarter, our key product categories in Japan, Europe and North America trended accordingly -- according to our expectations. While in China, the television market contracted significantly and the digital camera market, including solutions grew significantly. As for the television business, we were able to achieve highly resilient operations during the quarter by focusing on inventory control and cost cutting initiatives. We will aim to continue to do so, while also focusing on high value-added products, such as the new Bravia 9 Series, which we believe will further enrich the cinema viewing experience at home. And as for the imaging business, which includes digital cameras, we intend to pay close attention to demand trends in China, where the market is growing rapidly and aim to further expand profitability by further diversifying a greater audience primarily through the launch of the new vlog cam product ZV-E10 Mark II. In addition, by emphasizing inventory control across the segment, we were able to further reduce inventory at the end of the quarter compared to the same quarter of the previous fiscal year, which is also contributing greatly to the stabilization of profitability in the business segment. In preparation for possible future change in the business environment, we aim to focus on managing inventory and accounts receivable based on conservative demand forecast as early can't control cash flows. Next is the I&SS segment. Fiscal '24 Q1 sales increased significantly by 21% year-on-year to 353.5 billion yen, mainly due to the impact of foreign exchange rates and increased sales of image sensors for mobile devices. Operating income increased significantly by 23.9 billion yen year-on-year to 36.6 billion yen, mainly due to the favorable impact of foreign exchange rates and increased sales. For fiscal '24, we expect sales to increase 10 billion yen from the previous forecast to 1.850 trillion yen. We expect operating income to increase 5 billion yen from the previous forecast to 275 billion yen as the favorable impact of foreign exchange rates is partially offset by the impact of a significant decrease in demand for micro OLEDs used in AR and VR. The global smartphone product market during the quarter continued to show a gradual, but steady recovery like in the previous quarter. In addition, the trend toward polarization of price ranges in the product market particularly in China continues. This has accelerated the expansion of the high end smartphone market, which has led to further progress of the expansion of the size of the sensors we ship. As such, the market environment is progressing generally in line with our previous forecast. From the second quarter onwards, we expect the trend towards larger sensors for ultra-wide angle and telephoto cameras to continue. We believe that this trend, together with improved sensor performance to improve camera video capabilities will be medium-term growth drivers for the mobile sensor market. In terms of production, improvements in yields for mobile sensors are progressing as planned in May and we aim to achieve a normal run rate during this fiscal year. Additionally, we will aim to make maximum use of existing production capacity and be selective in making new investments, together with other development and operational efficiency measures we intend to work to improve profitability, a key theme of this midrange plan. Last is the Financial Services segment. Fiscal '24 Q1 Financial Services revenue decreased significantly by 34% year-on-year to 448.6 billion yen primarily due to the impact of market fluctuations at Sony Life. Operating income decreased significantly by 24.5 billion yen year-on-year to 30 billion yen compared to the same quarter of the previous fiscal year, which benefited from the recording of a gain on the sale of bonds at Sony Life. Insurance service results at Sony Life, which are the baseload of profitability for the business continued their stable trend at 41.8 billion yen. Fiscal '24 forecast remains unchanged from the previous forecast with financial services revenue of 910 billion yen and operating income of 145 billion yen. With regard to financial services revenue, gains from the separate account at Sony Life exceeded our main forecast due to the impact of market fluctuations. However, taking into account factors such as uncertainty about market fluctuations, we are maintaining our previous forecast. Now we will discuss the opportunities and challenges for growing our Life Insurance business. Sales of insurance products at Sony Life have grown significantly over the last five years. In terms of sales channels, the agency channel has grown significantly in addition to our mainstay, Life Planner channel. And in terms of customers, our business with corporate customers has grown significantly in addition to our traditional strengths in individual customers. The new policy amount for the agency channel and with corporate customers in fiscal '23 grew 2.3x and 3.7x, respectively compared to fiscal 2019. Due to this growth, Sony Life's share of new policy amount in fiscal '23 reached 16% continuing to rank first in the industry for two consecutive years. Even though Japan's population is declining, we have continued to increase our sales of insurance products by expanding our share and we believe that we have ample opportunities for growth going forward. On the other hand, we believe that there is an issue with how easily our business performance and financial soundness are affected by market fluctuation factors, particularly interest rates. Regarding new policies currently being sold, we have already reduced the sales ratio of so-called high capital load products, such as whole life insurance, and we are also preparing to further enhance hedging against market fluctuation risks. Regarding our efforts to address financial issues, including existing contracts, we plan to present our progress to date and future initiatives at the second quarter earnings announcements. In the Financial Services segment, at the business segment meeting we held in May, we said adjusted net income of 120 billion yen as a key performance indicator for the fiscal year ending March 31, 2027. As a result, from this quarter, we have begun disclosing adjusted net income, the details of the adjustments and other metrics. Finally, I would like to give you a general summary. As I mentioned, at the beginning, looking whether it's uncertainty or instability of the market, making it more difficult to forecast the future performance. But we have the fifth MRP and we have a strategy to enhance our resilience to changes in the environment. And we recognize that we've entered in the period in which the real value of that strategy is being called into question. So in terms of our business portfolio, our entertainment area is the biggest. Relatively speaking, impact of macroeconomics is not so large. It's not so direct, but we have to think about various risks and carefully conduct our business. So no change in that thinking. The key performance indicators for the entire group laid out in our mid-range plan include a 10% or higher growth rate of operating income and a 10% or higher three year cumulative operating income margin on a consolidated basis, excluding financial services. Our Q1 results represent steady progress towards that goal. That we can say. We plan to make every effort to maintain these targets and our goal of strengthening shareholder returns and we intend to regularly provide updates on our progress. That's all from my presentation.
Unidentified Company Representative: So those are the presentations by Totoki, Matsuoka, Hayaka and Yamada. From 4:27, we'll have a Q&A session with the media. From around 6:50, we'll have Q&A with investors and analysts. Will take approximately 20 minutes for each of those QA sessions. Those who have preregistered to ask questions, please connect to the phone number provided. And please read the material provided for how to ask questions. Now please wait until we are ready to resume. [Break]
Operator: Thank you very much for waiting. So now we would like to answer the questions from media. Those who answer the questions are the same as the speakers that made a presentation previously. So now we would like to begin question-and-answer session. [Operator Instructions] So the first question is from Toyo Securities, [indiscernible].
Unidentified Analyst: So [indiscernible] from Toyo. Thank you. And I have a question about G&NS. For you conducted the restructuring, the exercise and for studio, the business group, the Toyo franchise management of the development project, et cetera for over the last three months. And going the forward now is in August within this fiscal year. What kind of the restructuring you are going to conduct? What is your plan for that?
Hiroki Totoki: Thank you for your question. So at this moment, Banji restructuring has been already announced -- and at this moment, as you correctly pointed out, for this restructuring, the purpose is cost the structure and portfolio optimization. Those are the purposes. And simultaneously, we have to enhance efficiency of the business. So back office functions there should be integrated with the studio of SIE. So the Banji itself as it is considered best to and new live service Marathon titled Marathon, the headcounts and also resource will be concentrated there. So high quality and wonderful games game experiences should be developed. So we would like to concentrate resources there. And functions other than that, and other types of development, the title development will be transferred to the PlayStation, the PS -- the Studio Group. And so there will be some reallocation of the resources. So in any case, the organizational, the structure will be changed. And so we would like to optimize our overall studio structure. That's all. Thank you.
Operator: Next question. Nikko, Sato-san [ph], please?
Unidentified Analyst: This is Sato-san, Nikko. I have two questions. First, about the IT strategy in general. Paramount's acquisition. Why do you not submit another proposal? And the entertainment IT sector, what sort of size of investment are you planning for? And of the operating income, how much of the proportion will be IP hold? What is your final vision? And the second is about the global economy. Well, there's a slowdown. And also, we see a division of the U.S. and China. How do you see this? And what are the measures you have in place to address this? And what I expect is towards the next President Administration of the U.S. and what concern do you have.
Hiroki Totoki: Well, about the IP strategy, well, in general, I believe that your question was asking about the general strategy. But as the reason why I do not propose again a proposal to acquire Paramount. Well, we believe that at this point in time, Paramount acquisition. It does not fit well with our strategy. And that is a judgment that we have handed down. And the proportion of IP earnings within our operating income is still difficult. But the entertainment business, in some way or other, IP is related. And so IP is at the core based on which we carry out our business and generate revenue. And therefore, the proportion or the targeted proportion of IP earnings is difficult for me to say. So entertainment on the whole, we would like to focus on strengthening the IP. And this remains unchanged. But do we have a target? Well, we, as much as possible, we want to grow the business and then a consolidated basis with MRP with CAGR. The operating income at 10% and also the profit margin, 10%. We have this target. So we would like to put in different measures to achieve these goals. And about the global economy. Well, currently, the global economy itself is led driven by U.S., especially the consumption in the United States. And in our business, what we must focus on is economy and consumption in the United States. And currently, we see that there is -- are some signals indicating an economic slowdown. As the macroeconomic numbers, figures, we do see that signal, but how deep this will be, how long it will continue, it's very difficult for us to foresee. But there are such signals, and therefore, we must watch closely the developments. And about the expectations towards the next U.S. administration, well, Sony in any way, want to respect the choice of the American people. And what changes would result as a result of the election is something that we will keep an eye on. That is all. Thank you.
Operator: Next question, [indiscernible] please.
Unidentified Analyst: Umetu [ph] from Nikkei Business. Two questions. Crunchyroll, so surpassed 15 million yen, you said. So I think that is a good news. That kind of momentum do you think will continue for the time being? So what's the current situation? And what's the future growth prospect? And in the presentation, you talked about enhancing resilience. So that's the strategy of the MRP and you said that the true value of that is being put into question. So with the high uncertainty and trying to enhance resilience, what will be the most important factor you think?
Hiroki Totoki: Thank you for the questions. First, about Crunchyroll, current situation. and our expectations. Matsuoka will respond to that question. Matsuoka-san, please.
Naomi Matsuoka: Thank you. For Crunchyroll, earlier, we talked about that. So we exceeded 15 million in July. And so we have great works like Yaiba, [indiscernible] all of these works are contributing. And as was mentioned in the well, we are using Amazon Prime and platforms. So we have the partnerships with them that's contributing to the increased subscribers. And also we're distributing through theaters, and that is also going well. So animation creators in Japan, we have strong partnerships with them and capitalizing on that, we are expanding our contents. In terms of price, we are providing an attractive price level, very valuable service. And so we have established a very advantageous position. And overseas, we are trying to cultivate great IP, and we have a coproduction with Japanese animators and creators. And so in Europe, Latin America, India, Southeast Asia. So we were expanding and working on multiple languages, we'll focus on that. And so that's one initiative. And also for the expansion of the partnerships that I mentioned earlier that will be harnessed to try to increase number of subscribers. To respond to the second question, how to strengthen the resilience. So uncertainty is rising. What's the most important to enhance resilience was the question. In the short term, financially, inventory control, cash flow control, those things. What we can do with finance, we certainly will do. And I personally, what I think is most essentially important is diversity of people. We have diverse operations. And that's one reason we need diverse people. But with diverse people, you have diverse ideas being generated and we will not be focused on just one idea. We will have the power to generate new ideas and we'll be able to analyze from various angles. So we can have that kind of synergy effect, it's difficult to, of course, manage diversity, but I personally would like to pursue the diversity of our people. That's all.
Operator: So we would like to move on to the next question, Tanaka-san from Asahi Shimbun, please. Tanaka-san, can you hear me?
Unidentified Analyst: Can you hear me, this is Tanaka [ph] speaking from Asahi Shimbun. Can you hear me?
Hiroki Totoki: Yes, we can hear you.
Unidentified Analyst: So thank you for the opportunity. This is Tanaka from Asahi Shimbun. In connection to the previous question regarding Paramount. I have additional questions. Up to now, you made a proposal about acquisition. And you did not make it very clear even then -- and if there is anything that you can disclose, what was your motivation or intention to start your move on the acquisition? And you also said that you would not re-propose because it is not well fitted to your strategy. So can you elaborate on that, please? As a Sony's strategy, what is the place -- what is the point which is unfitted to your business acquisition case?
Hiroki Totoki: For each individual project, it's very difficult for me to answer the question. However, as I have mentioned so far, on our part, high-quality IP, and we have been focusing on the asset. And that particular asset at the profit price, and that can be acquired. And if that kind of deal structure is established, we would like to become very serious about acquiring that kind of the target company. But the company, Paramount, that the corporation is quite large in size. And for instance, if we have to acquire the entire organization, it would be quite risky because our capital allocation itself, it may not be well fitted to our capital allocation strategy. That is the primary reason. Thank you.
Operator: Next question please, NHK, Nishikata-san, please. Nishikata [ph] from NHK.
Unidentified Analyst: Two questions. First, about the Paramount acquisition. If you were able to submit another proposal, if you had thought that you could strike a deal at an appropriate price, would you have done so? And the second is about the CMOS sensor, or EVs are being produced internally in China these days? And are there any concerns that you have in terms of the sales of your CMOS sensors because EVs are mainly being produced in China?
Hiroki Totoki: Well, in regards to your first question, I think I will really answer that. So I really don't have anything to add to what I've already responded. I apologize. And secondly, about your second question about the electric vehicles. And the fact that they are trying to produce domestically electric vehicles. Well, the sensors for automobiles, I think you're talking about. But we including the Chinese manufacturers, not just doing business in China, but instead, we are supplying to global OEMs, the sensors for automobiles. And therefore, in China also, we have competitors. And we want to make sure that we do not lose out in terms of our technology. But sensors for automobiles and sensors for smartphones, they are different. And the market is still small for automotive sensors. How much this will grow is something that we have to observe carefully. That is all. Thank you.
Unidentified Analyst: Thank you.
Operator: We're starting to run out of time. So we will take one more question. So please make it just one question because of time constraints. Are there no more questions? Seeing none, we will end this Q&A session for the media. Investor Analyst Q&A session will start at 4:48. [Break]
Operator: Thank you for waiting. I'd like to start the investor analyst Q&A session. I'm with IR Group, Condo. I'll be serving as moderator. And as was the case for the media session, these four will be responding to your questions. [Operator Instructions]. So first question, BofA Securities, Hirakawa-san, please?
Mikio Hirakawa: Thank you. Hirakawa of BofA Securities. About games and music question. So about the games, monthly active user 7% Y-o-Y growth. That was a very strong growth. And can you talk about the background in a little more detail because there was an update of large update that last year, and that led to increase the monthly active users. And are there any other factors? I want to ask the background? That's the first question. And should I continue the questions, please? About the music, earlier, you talked about music streaming sales, midterm growth mid- to higher single digits was your forecast. And until Q3 last year was double-digit without the ForEx impact. So that was the growth you had. Now 6% in Q1 seems to be slowing down a bit. And so do you think that you've come down to the midterm growth trajectory? Or was there a onetime factor for Q1 and it's slower than this year's overall pace? Because at the beginning of the year, you said that for this year, subscription price rise was expected. So I was expecting a little bit higher. So those questions, please.
Hiroki Totoki: Thank you for the questions. So let's take the first gaming network service question. I'll respond to that. The music question, Matsuoka will respond. So for games MAU year-on-year, 7% growth, very good number is how we see it. And of course, the five installed base is accumulating PS5. And we have the franchise software contribution. So third-party free to play also strong. I won't go into the individual title names, but those tailwinds have had an effect. I think that's one of the factors. Matsuoka-san, please.
Naomi Matsuoka: So streaming service. So if you look at that, the overall growth is in line with the previous trends. And it may seem as if growth is slowing. The factors behind that are for Q1 -- over a year ago, we raised the prices for multiple DSP. And so the impact of that is now diminished. And for -- and we have the ad streaming service revenue of that, that is declining a bit. And however, in a constant currency basis, early, we said 5% in dollar terms. But if you look at that in constant terms, it's higher, 6%, in the 6% range according to our calculations. So overall, streaming growth rate is in line with our projections.
Operator: Thank you. Next question is from SMBC Nikko, Katsura. Please.
Ryosuke Katsura: Can you hear me? My name is Katsura from SMBC Nikko. So my question pertains to I&SS semiconductor and also regarding the financial services. And regarding I&SS, so mostly supply to major companies in North America. And if you have any plus and minus over the last three months, please share that with us. Now at this moment, you increase the production in your supplementary document and production capacity compared to our original. The projection seems to be stronger and bigger. So what is your concept on that? In the mid- to long-term, there is a risk of your competitors entering the market. I think that has been discussed in the market. So from mid to long-term, what is your view of your position in the market? This is the first question about semiconductor. And regarding my second question, on the operating income of the second quarter, I think the progress rate is the 21% in its operating income. And of course, there are upside and downside risk under the current market condition. What is your view about that?
Hiroki Totoki: Thank you for your question. Regarding I&SS, I would like to answer the question. And about Financial Services, and I would like to ask Yamada-san to answer the question. And regarding I&SS, well regarding individual, the customers, setting this aside, well, we increased the production that you mentioned. The reason is for the high end, the products, we have increased the shipping for that. For that reason, we have increased the production. And the risk of other companies entering the market, it did not -- it has not started now under the very severe competitive environment, we always have competitors, and we constantly analyze our competitors, and we try to overcome our weakness so that we can be advantageous in technology position. And as for the long-term, it's very difficult to make comments. But during the MLP period, the risk from our competitors joining the market. If there is any concrete examples, I believe that the probability of this risk is quite small. That's my answer. And so about Financial Services, Yamada-san, please.
Kazuhiro Yamada: Thank you for your question. The first quarter, the progress rate, 25%, that is a little bit low. There are two reasons. The first is at Sony Life, there is a larger number of surrender increased surrender, particularly dollar-based. The interest rate is getting higher, and there is a Yen depreciation. And for that reason, that reads the surrender of the products policies. And about the Non-Life, for instance, natural disaster that has impacted. And for that reason -- and of course, we try to overcome that in midterm and how we should look at these ups and downs. And during the first quarter, thus, our sales performance has been quite good, and that is considered to be upside potential. But for the life insurance, the sales performance, even that is good, does not lead to profitability. Depending upon the offering of the services, the effects have been penetrated gradually. And for the sales activities, there is increase of surrender. And of course, that is mainly due to the market condition, but life planners that we have to provide good information to the customers so that they are able to make good judgment. I think that will give upside potential. And also for the market downside, the market there is change in conditions. But compared to the end of June, the interest rate falls. And also for the stock market, there is some fall in foreign exchange, we see the Yen appreciation. So for the interest rate, we are quite positive about that. And foreign exchange and stock price, we are negative. And so this market condition may be reflected in upside and downside. So we have to pay constant attention to the market condition so that we can always constantly control the profitability. Thank you.
Operator: And next, from Mizuho Securities, Nakane-san, please?
Yasuo Nakane: Thank you. This is Nakane from Mizuho Securities. I also have two questions. But it's a related question, but first is of the investor return and buyback, and the next is balance sheet. From May, looking at your buybacks in three months, it's closer to 100 billion yen. And on average, the price is more than 14,000 yen. So relevant to the share price, you are continuing with the buyback and it seems to be that you -- well, there's strategic investments, so it's the best to invest in Sony. And that is the reason why investing in Sony. And so I think that was your stance, but have you changed your policy? So that is one thing. And also the second is excluding financial service balance sheet. I think we had less than 30% capital ratio, but now it's more than 40%. And when it was 30%, you said that more than 40% would be your target, more or less, I believe. But now you currently exceed 50%, and the leverage is not working. So excluding Financial Service, the shareholders' equity ratio. What is the minimum that you have in mind? So I'm pleased to tell me about that. So these are my two questions.
Hiroki Totoki: Thank you very much. There are two questions. So Hayakawa-san will first respond.
Sadahiko Hayakawa: Yes. Thank you for the question. About your first question, yes, as you said, we as a company have been buying back our shares. And it has been part of our strategic investment. And looking at the financial situation of business performance and share prices have been trying to do it with agility. And so this has not changed. But from this fiscal year, the fifth, we like to strengthen our shareholder return. And therefore, we want to increase the total payout ratio to 40%. And therefore, I think we are strengthening our shareholder return. And this has been incorporated. And also currently, looking at the share prices, we are buying. So I'm pleased to understand that, that is the current case. That's the answer to your first question. The second, as you say, as of the end of June, looking at -- it's a 50.4% shareholder equity ratio. And we think that losing for the shareholder equity ratio, we have not changed our thinking and we want to have a healthy balance sheet and looking at the investment opportunity and the market changes, we want to have a competitive finance in place and we want to try to achieve a 40% more financial services. And from that point of view, currently, because of the accumulation of profit, shared equity ratio has increased, but we think that with the buybacks, that was explained, we can try to improve the capital efficiency on our balance sheet. That is all. Thank you.
Operator: Thank you very much. Next, JPMorgan Securities, Ayada-san, please?
Junya Ayada: Thank you. Ayada from JPMorgan. I also have two questions about games and I&SS. First about games, add-on sales growing substantially in dollar basis, about 20% growth in revenue seems. But the breakdown, I want to know if you can make some supplemental comments about that. What's included here first, add-on and third-party add-on first being less share and large titles that was strong, but last year and others. Within third-party, I think you can have those three categorization. So can you show the breakdown? And the 1Q add-on structure, how is that going to reflect in the Q2 onwards? And the second question is about the I&SS inventory. As of end of -- from end of March, it has increased about 100 billion yen. And so I think there's -- because of seasonal factors, work in progress. But if you look at the final inventory, what's the current level? Is it high? Low? I think the unit price is going up for chips, and that's why the value is going up. But in terms of volume terms, finished product inventory, is it sufficient? And based on that, Q2 onwards, what would be the utilization? What's your view on that, please?
Hiroki Totoki: Thank you. I'd like to answer both questions. First, game and network service add-on sales growing. You point out that, that's correct. Most from third-party. First party a little bit, but mostly it's for third-party. I think I can say it that way. And also for individual titles, it's difficult to comment. But it's divided into several titles and the biggest title that you can imagine that is growing and that is true. But others as well, there are various titles growing steadily. I think I can put it that way. Also, indices, basically, as you point out, there's an impact of seasonality, that is the big impact. And finished inventory in terms of volume, is it sufficient? Was your question. Looking at the sales size, it's at a rational level, reasonable level. Q2 onwards, what will be utilization, mobile image sensors were at full capacity almost. That's my view. Thank you.
Operator: The time is running short. So the next question will be the last question. So please limit your question to one question. [Indiscernible] from UBS Securities, please?
Unidentified Analyst: Thank you. My question is about economic condition that Totoki-san already explained that the foreign exchange and also U.S. are the major impact factors. And for those two factors, well, I believe that depending upon the categories, I think there is a change in the impact. So what are the categories which are affected? And for instance, U.S. economy and the foreign exchange, you put more emphasis. And in your business model, in a realistic way, if the -- well, I think there are any things that you are worried about. If those things happen, you're worried about that if you are, how do you define and interpret the feature of economic concerns this time? Thank you very much.
Hiroki Totoki: So regarding foreign exchange, the sensitivity issue should be addressed. So Hayakawa-san will answer that question. Thank you for your question. And for our forecast for the financial results, by presenting that, in an immediate past, there was the rapid foreign exchange, the fluctuation. So we have updated with Yen depreciation for both the Euro and the U.S. dollar. And ISS is most affected in terms of sensitivity. And so the immediate forecast we have to update for each category. And thus, for the foreign exchange sensitivity for music and the pictures, the accounting translation is included. For $1, 50 yen, the sensitivity exists. And so including the accounting translation. And for 65 yen, so by those numbers, you can see the impact. But that is the sensitivity for the next one year -- for the one year. And so there is the foreign exchange hedge, the hedge effect, and that will be offset to a certain extent. And on the fifth, there was a Yen appreciation up to 140 yen. But currently, the 146 yen or 147 yen, still volatility is high, but we would like to check the factors for fluctuation, and we would like to address this issue properly and manage that. And if it is needed for electronics, the product price revision has been carried out. So we will be very flexible in even including transferring that impact into price. And so in overall picture, after August, if there is a 10 yen, the Yen depreciation in dollar and euro will move in parallel with that, in that assumption in terms of sensitivity on a consolidated basis, the 70 billion yen to 80 billion yen worsening is anticipated. But that is just a matter of a simulation. And before foreign exchange moves that way, of course, we do have some of the advance, the countermeasures taken, and we have to also make some adjustment and also cost will be the cut in accordance with that. So may not directly impact our financial results. And at this moment, overall sales and compared to our business scale. On a consolidated basis, the foreign exchange impact is not that great within a certain range. So we would like to continue to control this and manage this solidly. And from the prospective business model, in the macro picture, the risks, which may impact our business significantly. Well, it's very difficult to think about them, but geopolitical risk is certainly the big risk. And when it appears in the macro picture that may give a major impact. For image sensor, U.S.-China relations have significantly impacted our business in the past. We do experience this. So regarding geopolitical risk, we have to be always very cautious about it.
Unidentified Company Representative: Thank you very much. It's time for us to end, and we'd like to thank you for taking part in our Q1 earnings announcement meeting. Thank you.